Operator: Hello, and welcome to the IDT Corporation's Fourth Quarter and Full Fiscal Year 2016 Earnings Conference Call. [Operator Instructions] .
 In today's presentation, Shmuel Jonas, CEO of IDT Corporation, will discuss IDT's financial and operational results for the 3- and 12-month period ending July 31, 2016. 
 Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. 
 In the presentation -- in their presentation or in the Q&A that will follow, IDT's management may make reference to the non-GAAP measures, adjusted EBITDA, non-GAAP net income and non-GAAP diluted EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP diluted EPS to the nearest corresponding GAAP measures. 
 Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation website, www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. 
 I would now like to turn the conference over to Mr. Jonas. 
Samuel Jonas: Thank you, operator. Welcome to IDT's Fourth Quarter and Full Year Fiscal 2016 Earnings Conference Call. My remarks today will focus on key operational and financial results for the 3- and 12-month period ended July 31, 2016. Unless I indicate otherwise, the results are for the fourth quarter of fiscal 2016 and are compared to the year-ago quarter. For a comprehensive and detailed discussion of our results, please read our earnings release issued earlier today and our Form 10-K, which we expect to file with the SEC on or about October 14. 
 Following my remarks, Marcelo Fischer, IDT's Senior Vice President of Finance and IDT Telecom's Chief Financial Officer, will join me; and we will be glad to take your questions. Operational highlights of the quarter include the completion of the spinoff of Zedge in early June and the rollout of our new BOSS Revolution retailer portal. This new portal will allow retailers to sell many of our disparate retail offerings from one place, including PIN-less IMTU money transfer, loading money, gift cards, domestic and overseas bill payments and GPR cards as well as other products on our road map. 
 After the quarter closed, we beta-launched to rave reviews 2 new products: PicuP, a telephony solution for very small businesses; and about 2 weeks ago, the next generation of the BOSS Revolution calling app with free peer-to-peer calling and messaging. 
 Our financial results for the quarter were consistent with recent trends. Revenue declined $37.7 million compared to the year-ago quarter but increased sequentially by $12.9 million, helped by the 2 additional days in the fourth quarter compared to the third. 
 Consolidated SG&A expense for the fourth quarter was $5.1 million below the year-ago level, and full year SG&A expense was $17.6 million below fiscal 2015's level as a result of our continuing effort to manage costs. 
 Income from operations for the fourth quarter was $6.2 million compared to $7.2 million. Adjusted EBITDA was $10 million compared to $12.4 million, and diluted EPS jumped to $0.48 from $0.05. 
 Full year results were solid, although any comparison of GAAP results to the prior year is skewed by the gain of the sale of our interest in Fabrix recognized in fiscal 2015. For the 2016 fiscal year, adjusted EBITDA increased to $45 million from $44.5 million, and non-GAAP diluted EPS increased to $1.63 from $1.27 in fiscal 2015. 
 I am particularly pleased that we were able to achieve this level of profitability while increasing investment in growth initiatives, including the new version of the BOSS Revolution app messaging; our BOSS Revolution international money transfer business and a new app for them called Money [ph] that will be launched later this year; Net2Phone Office, a unified communications-as-a-service offering; PicuP; and our National Retail Solutions' point-of-sale initiatives. Each of these initiatives is meeting or beating our early expectations and have the potential to become significant contributors to IDT's bottom line as they reach scale. We intend to increase our investment during fiscal 2017 as their business plans merit. 
 Now turning to our core telecom offerings. We continue to face revenue and margin pressure, largely stemming from deregulation of the Mexico telecom market in early 2015 that essentially reduced the cost of terminating calls there to 0. Because we sought to maintain our rates through most of fiscal 2016, we experienced accelerating customer attrition and declining revenue from this important corridor as customers switched to unlimited Mexico calling plans or free solutions. 
 In July of this year, we significantly lowered the BOSS Revolution U.S. to Mexico calling rate. While this reduced the rate of customer attrition, it accelerated the declines in revenue and gross profit generated on this route. Exclusive of Mexico, BOSS Revolution PIN-less international calling revenue has been relatively steady throughout the year. However, it is a maturing product. Our large investments in new businesses, products and offerings, in combination with the revenue and margin pressure in some of our telecom offerings, will likely increase pressure on adjusted EBITDA in the near term. But we are building a strong foundation for growth and we are very fortunate to have an extremely capable and dedicated team working day in and day out to make IDT successful. And I just want to say thank you. 
 One final note. In light of the quarter's results and our continuing financial and operational strength, IDT's board has declared a quarterly dividend of $0.19 for the fourth quarter to be paid on or about October 20. 
 This is the end of my remarks. Now Marcelo and I would be happy to take your questions. Operator, back to you for Q&A. 
Operator: [Operator Instructions] This concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.